Operator: Ladies and gentlemen, thank you for standing by and I would like to welcome you to Text's Q1 KPI for the year '25-'26, together with annual data. [Operator Instructions] And the format of this call will be a presentation by the Investor Relations team led by Marcin Droba and Lucja Kaseja, followed by the Q&A session. So without further ado, I would now like to pass the line to Mr. Marcin Droba. Please go ahead, sir.
Marcin Droba: Good morning.  It's a pleasure to meet with you again. This time, we have more to cover than usual not only our quarterly KPIs, but also full year financial results and a number of recent developments within the company. There has been a lot going on. Nevertheless, we'll do our best to keep things concise and leave as much time as possible for your questions. Before we begin, I'd like to start with a word of thanks. Following the release of our recent results, we've seen a significant number of analysis and discussions about our company, both in Polish and international social media. Many people have dedicated considerable time and effort to take a closer look of what we are building. Most of these have been high quality and insightful. We also want to emphasize that we are here for you, and we are generally happy to answer any questions that we are able to respond to. Thank you for all your kindness and goodwill we continue to experience from many of you. That said, we do believe it's important to separate investment decision from emotions. And we trust everyone here is a mindful of that distinction. Now moving on to the core of today's presentations. We'll begin the presentation by highlighting the most important developments and ongoing processes within our company. The key event, one we've actually been working towards through the past year, is the launch of Text App, the working name of our new suite class solution. As you may recall, the term suite has been featured prominently in many of our past presentations. Today, it's no longer just a concept. We're already using it internally, and over 350 of our clients are leveraging it in their daily operations. This marks a pivotal moment in the strategy we outlined even before acquiring the text.com domain and rebranding from LiveChat software. The next major milestone will be making Text App available to new customers, something you can expect to happen within this quarter. We'll also continue migrating our existing customer base to the new platform.
Lucja Kaseja: In June, we completed another long-term and strategically critical project, the migration to our new cloud infrastructure. One of the immediate outcomes of this shift is the potential to reduce costs in the coming quarters, as we've now phased out the need to maintain two parallel cloud systems. But more importantly, this change directly benefits our clients. It improves the quality of our services, eliminates traffic limitations from customer websites and unlocks new functionalities, especially for our enterprise customers. The completed migration also paves the way for SOC2, S-O-C 2, certification. We've discussed this initiative before, and while we have expected -- experienced some delays. Those came from broader organizational changes, updates to our product development structure, workflows and internal procedures as closely tied to the Text App rollout. While the certification itself is not at risk, we are currently unable to provide a firm time line for its completion. That said, the certification process is already delivering value. For some clients, our commitment to the process is reassurance enough. For others, the new security features we've already implemented in response to SOC2 requirements are what matter most. We've also seen significant activity and faced notable changes around customer acquisition. Some of these are tied to changing patterns in how users discover content online, prompting the necessary overhaul of our SEO, S-E-O, efforts. Others relate to the broader macroeconomic climate. We are actively working to strengthen our traditional acquisition channels, which have historically been highly effective, while simultaneously expanding our sales team and increasing our off-line presence at industry events. In April, we also opened a new office in Miami, an effort to address current challenges but also reflects the massive opportunity we see in targeting larger customers through Text App and our upgraded infrastructure. These efforts are already showing early results, as you'll see in our ARPL charts. Notably, we've signed our first client with annual contract value of $1 million. That said, this channel naturally comes with longer sales cycles. It's important to emphasize that we are not abandoning our existing acquisition methods, we're building on them. As the CEO noted in the recent letter to investors, our long-term goal is to reach $100 million in annual recurring revenues. When we achieve it, that depends on many variables, market adoption of Text App and macroeconomic conditions, among others. Currently, the pace of MRR growth is below our expectations. However, we believe that in this challenging year, we've made substantial progress on both the product and infrastructure fronts to put us firmly on the path towards the target. Now I'm going to discuss the financial results. The net sales for the year were PLN 354.2 million, which is a 5.6% increase year-on-year. The EBIT and net profit were -- declined, which was affected by the difference in financial revenues and costs. And also, the tax rate applied to the profit has caused a decrease of net profit. When we discuss quarterly results, we've seen an increase of 6.8% to PLN 89 million in quarter 4. And we've seen also a decrease in EBIT and net profit by 0.2% and by 3.4%. The majority of that effect on the profit was the balance between the financial costs and revenues that we generated. So actually, this is very much tied to Polish zloty and dollar exchange rate. Then in terms of EBITDA, it grew to PLN 201.6 million, which is an increase of 1.6%. And that actually allows us to maintain the high margins that we had for the whole financial year. This slide, which is #8, actually shows the future revenues that we have booked already from customer contracts. And at the end of the Q4, it is PLN 72.1 million. And actually, it will be discussed further by Marcin when we talk about the payments for the quarter. The cash position, we have is always very strong. And actually, we are generous in paying out dividends a few times a year to our shareholders. When you look at the Slide #10, you see the division between -- of revenues between the products. Actually, 2 things are important here. First of all, the fact that LiveChat accounts for less than 90% of all group revenues. And also, you can see that ChatBot revenues actually decreased in Q4 of the financial year, and that will, again, will be later discussed what has actually led to these numbers. And again, the split by the product on Slide #11, while for the whole year, the LiveChat product actually is responsible for 88.7%. And you can see that year-on-year, the share of other products, especially ChatBot, having -- has increased. And the last thing in terms of the financial results for the whole year, and actually, we think that it very much underlines what we have achieved financially in the year. The Management Board has proposed to the AGM a record dividend of PLN 6.06 per share, which is actually the highest one in our history.
Marcin Droba: Thank you, Lucja.  Let's move on to the event of most recent quarter, which ended just a few days ago. We've already covered some of these key milestones: The launch of the Text App, completed cloud migration, opening of our Miami office and enabling crypto payments for enterprise customers. From an operational standpoint, we saw MRR up by 1.4% year-over-year, a decline in payments collected and a key milestone for HelpDesk product, product which exceed USD 500,000 in MRR. As we emphasized for some time, we consider MRR and subsequently, ARR, annual revenue -- annual recurring revenue, the best indicator of our business health. As of the June, MRR stood at $7.17 million, marking a 1.4% year-on-year increase. While that pace isn't what we'd like to be, if we look at quarter-to-quarter changes, we added $50,000 in MRR this quarter compared to $20,000 in the previous one and $60,000 before that. In Q2, we actually faced a decline in MRR. This highlights -- these slides highlight the stability of our current model, where the decline in customer count in our core product is offset by ARPL growth and the contribution of newer products. Importantly, the recent ARPL growth in LiveChat was not driven by price increases, but rather by strong revenue retention and more effective acquisition of larger customers. Of course -- summing up, of course, we don't see that MRR stability as a satisfying end goal. Payments collected in the quarter came at $21.83 million, which is lower than in the previous quarter and year ago. This is largely due to a lower share of annual payments in the mix. While not something perfect, we don't see this as a significant issue. And this slide illustrates a very important trend, the growing share of large clients with MRR over $500 in total MRR. It has now represent 49.8% of our MRR, up from just 42% a year ago. This reflects a transformational shift. Smaller clients are being replaced by larger ones, and existing customers are upselling over time. This is consistent with broader SaaS trends, as seen in ChartMogul reports. The industry is currently focusing on revenue retention, which is becoming the main growth driver. This shift is already visible in our revenue retention figure and should over time, contribute to lower customer churn as well. A similar trend is visible in multiproduct adoption. By the end of the quarter, customers using more than just 1 product accounted for -- were responsible for 34.9% of total MRR, an increase of 3.5 percentage points within a single quarter. We now come to a set of slides that we are showing here for the last time. LiveChat's net customer loss in the quarter was 928, which is obviously not a good result, although around a 500 better than in the previous quarter. The phaseout of the native ticketing system in Q1 likely still had some residual effect, but much more than before. The decline is mainly due to a combination of high churn and low new customer acquisition, but more in terms of volume than quality. That said, the drop in customer count was offset by ARPL growth, which increased by $2.3 during the quarter. ChatBot added 96 net new customers during the quarter, not an exceptional number, but it marks a return to steady growth after a period of some stagnation. We also saw another increase in ChatBot ARPL, this time by $3 despite ongoing start-up promotions which remain visible in the initial ARPL chart. Customers were less active in exceeding plan limits, which led to lower additional payments. As we already seen, this had a direct negative impact on ChatBot quarterly revenue even in a situation when MRR of this product is on the rise -- is growing. HelpDesk is now approaching a milestone of 2,000 customers. The one-off boost from the shutdown of LiveChat's native ticketing system which helped the last quarter is now gone. Even so, HelpDesk added 178 new customers, which we view as a strong result. And even more importantly, there were high-quality customers, as demonstrated by very strong ARPL increase during the quarter by 14.4%. This shows that HelpDesk is becoming an increasingly valuable part of our portfolio. That's all the slides we wanted to share. So to wrap up, a few words about our reporting plans going forward. In the upcoming quarters, we will continue to report MRR figures, which we consider the most important indicator of our business growth. We will complement this with data and payment collected to provide a more complete, deeper picture of the company's performance. We will also do our best to provide commentary along these figures and continue adding supplementary data to our presentation. As always, we will maintain our open Q&A sessions, where all investors can participate on equal terms. However, we no longer publish product-level data, that is, customer count and ARPL product. This is not due to recent declines, as the downward trend in LiveChat customer numbers is not something new, and ARPL has been increasing across all the products. A similar decision to stop disclosing subscriber numbers was made recently by Netflix, which explicitly stated is no longer wanted to be valued based on that metric alone. There are also several publicly listed also Polish companies, some of which are at least partially comparable that do not disclose customer counts at all. We believe that compared to many of our peers, we've historically published more detailed data and have not been rewarded for the transparency in any material way. But what is important and what was decisive, which with the launch of Text App, which we will be migrating our existing customers to and soon offering to new clients, we expect some loss in continuity, comparability and clarity in product level metrics we could share. We are a for-profit organization. Our dividends are paid in cash, and MRR will remain a transparent key figure. Being the product of both customer count and ARPL, we'll simply not be reporting the components of that equation for now. In summary, over the past year, we have been intensely focused on implementing significant changes to our products. Expanding our offering into a full product suite, migrating to new cloud infrastructure and obtaining key certification important for our customers, adapting to new customer acquisition landscape and increasing our sales effort by expanding and strengthening the sales team. The results of these efforts is the launch of Text App, which is already being used by us and 350 of our existing customers and will be made available to new customers later this quarter.  Thank you.
Operator: [Operator Instructions] So we have our first question from Mr. Max Rofagha, Family Office. Congratulations on the milestone with the suite app. I have 4 questions. We'll start with the first one. Will the suite replace the individual products? Or will you keep them alongside? If they get replaced, do you have a time line in mind?
Lucja Kaseja: Let me maybe start with answering the questions. So the introduction of suite will be phased out. So initially, we will keep the individual products along suite, especially that this introduction of a Text App is a process. So as Marcin already mentioned, more than 350 of our current existing customers are already using Text App. Later in the quarter, the Text App will be available to new customers. And in the future, we will be moving the customers to Text App, but that will be a much longer process.
Operator: Okay. The second question is what is the average contract value of Suite customers? And what is the average contract duration?
Marcin Droba: Lucja partly answered that question already. So actually, we invited current customers to platform we chose for the beginning, we chose our most active customers, heavy users who -- customers who are using more than one of our product. And these customers are still paying for the current product. So for them, we didn't introduce a new pricing for them.
Operator: Do you have visibility already on what customer acquisition costs for the Suite customer will be?
Lucja Kaseja: Not really.  I mean, definitely, the customers -- we will keep the way we acquire the customers already. So the text.com website will be one of the key places to get -- like to get to know the offer for Text App. Also, because Text App actually encompasses all the products that we currently have and also adds more, this will be very much suited for larger customers. And we also have quite a dedicated sales team that is actively working on getting customers in general. And so once Text App will be available for new customers, I'm sure they will be very actively offering the solution, the suite.
Operator: Okay. Final question from Mr. Max. You stated in the report, you're not happy with the current ARR growth rate. What rate would you be happy with?
Marcin Droba: Well, definitely anything below 2-digit area is not satisfying. CEO mentioned this $100 million are a target for us, and we will strive to get to that point as soon as possible. The visibility will be much better at the end of the year. But yes, definitely 2-digit numbers are what we're looking for. We'd not be happy in single-digit area.
Operator: Our next question is from Mr. David [ Arias ], private investor. During the last 5 years, the EBIT margin has reduced from 62% to about 50%. What will you do to avoid margins keep reducing? And where do you see EBIT margins in the next 5 years?
Lucja Kaseja: So actually, I mean, this is a very valid question. In the last 5 years, the business has changed quite a lot, especially, we have built up the new products. Also, the landscape of attracting and the ways of attracting the customers has increased, like the competitiveness of the market has increased. So we had to act on that. And also, one thing that affects EBIT margin is actually in the dollar-Polish zloty exchange rate. This is something that has caused quite frequently, I would say, disturbance to, for example, the consensus that was expected by the analysts. So this cost is something that we keep -- it's a burden to our costs. At the same time, we have a bit of natural hedging because half of the cost -- almost half of the cost of -- operating costs are in U.S. dollar, where we receive the majority of revenues -- well, all the revenues in U.S.  dollar.  And to be on the market and to be competitive, we had to invest. Part of it was in the team, in how many people are in the company. Also, we invested in Partner Program within the last 5 years. And these were the things that we had to do to be as effective as we used to be. It will be very hard to say where the margins will be within the next 5 years because the market changes very rapidly. We've been always saying that 2, 3 years perspective on our market is a long one. And definitely, we were saying that even before all the AI kicked in and completely changed the landscape. So we know that we will be making sacrifices to make our customers happy and to be able to offer them the best product. And that this is something that is very much in our heart. So we want to make a good product. And if it means that we have to spend a little bit more, that might be the cost to be competitive.
Marcin Droba: Just one more addition. I recently had opinion. It's not my opinion. I heard that, that only very good companies are able to achieve EBIT margins of at least 15%. Only excellent company who is able to achieve EBIT margin -- operational margin of -- at the level of 30%. So we definitely will strive to be better than excellent company in the future. Margins are important for us. Lucja explained for deeply starter teams, there are a lot of things in place. Some things are out of our control. Currency would be extremely important also for our margins, but we will be very focused, very, very cautious about margins and about being very profitable.
Operator: The second question from Mr. David. Are you planning to start a buyback program to take advantage of the low share price and boost the EPS for the future years by reducing the number of free float?
Marcin Droba: So we have a lot of discussion on that with investors. At the end of the day, it's shareholders' decision. So if some shareholders will come with that idea, if they be able to pass that, convince majority of the shareholders at the general meeting to support that idea, it's possible, but I don't think that's the case. So in our situation, definitely, at the end of the day, it's decision of the shareholders.
Operator: Next question is for Mr. Pawel from Pole Position Investing. Great progress with the Suite app. Will the results for Q1 full year 2025-'26 be burdened by the cost of migrating to the new cloud environment?
Lucja Kaseja: Thank you for congratulations. Q1 should already be slightly less in terms of the cost of infrastructure. But the -- I mean we finalized the transition in Q1 of this financial year. So they will be slightly lower, but still, we have the cost of both of the providers in that quarter.
Operator: Next question comes from Mr. [ Francesco Bracchi ]. Congrats on the achievements presented. Four questions. First one, do you expect further LiveChat churn in the next months?
Marcin Droba: So definitely, when we discuss churn, we usually while discussing customer churn, so the number of customers leaving, and it's hard to be optimist. A short perspective, we know vacation coming.  Vacation period.  Summer period is always most difficult period when it comes to the customer churn and acquisition of the new customers. So looking at the number of customers, looking at the LiveChat, I don't see really a reason for huge change in that perspective, unfortunately. Looking at the more important KPI revenue churn. So actually, revenue churn is the similar KPI, but it's about MRR and revenue loss. I think that there is a very, very good chance to see a very good numbers here because of the Text App, because of the -- some initiatives we have in mind which were postponed for some time because we were very focused on developing suite and infrastructure products.
Operator: Okay. Second question, how much generative AI is affecting your suite?
Lucja Kaseja: I'm thinking how to respond to that question.  I mean...
Marcin Droba: So maybe I will start. I believe, heavily, heavily. So if you look at our current products, each of our products is using some AI features, some AI-driven features. We have some pilots in LiveChat. We have -- obviously, ChatBot is AI-driven ChatBot. And actually in every product, we have more or less, AI-driven features. But of course, I'm not actually a technical expert. But all these products actually were not developed, not engineered, not planned with AI in the center. So we just added this feature, some of them very valuable to our products. And yes, they create value for the customers.  We can see that.  But Text App is designed for AI features such as AI assistants, AI agents, some automation. So yes, I think that that's one of the most important difference when you're comparing our current portfolio when AI features are available and suite we are releasing now.
Operator: And third question is what are the main causes for payment reduction in the last quarter?
Lucja Kaseja: So the payments are actually the sum of the payments for monthly subscriptions and annual subscriptions. And in that quarter, the amount of annual subscriptions were slightly lower. So that's the main reason for the difference.
Operator: Okay. The last -- fourth question is about payments. You accept crypto payments. Once received, do you plan to keep them or exchange to fiat currencies?
Marcin Droba: Actually, these payments are being processed through Stripe solution. And on our side, we are getting U.S.  dollars.  So actually, yes, customers is paying with crypto, but actually on our side, we are even not seeing -- we are not getting crypto.  We're getting U.S.  dollars.
Operator: Okay. We have a follow-up question from Mr. Max Rofagha. Can you please explain what the Text suite is today, what features it has? Is it essentially a suite with all your individual products put together or something different? And what feedback have customers given, good and bad so far?
Lucja Kaseja: So actually, it is a product which is a combination -- or actually, it unifies the products that we already have, so Live to ChatBot, HelpDesk and KnowledgeBase, but also adds new. So for example, that is TeamChat and Workflows. However, it was built from scratch and designed from the beginning. And it also has the functionalities that are strictly related with AI. So a Copilot, AI agents and many other like automations. We've talked a little bit about the users of Text App already. So those customers and the heavy users or our already existing customers. We chose them to be able to receive feedback and act upon that. So the initial reaction to Text App was a positive one. And also, the customers have indicated what we should add or what we should further develop. And so this is actually a process. It will be developed. I think -- well, I know for sure that by the end of the quarter, the new customers will be able to start the trials in Text App. So that will also be the time when, for example, investors could have a look at the suite. And also in autumn, we plan to run another edition of context, an even for our customers, that will be -- that people from our team will be sharing the -- what is actually inside Text App. I think this will be the best opportunity actually to learn about Text App further.
Marcin Droba: So maybe I'll add just two things. One is that we're still adding something, some interesting features to Text App. So in some weeks that there will be even more features in Text App, and that's the one thing. And the second is when we are showing -- well even before launching Text App, we're showing to some customers what we want to propose them. The answer was great, very enthusiastic. So we are convinced that we really know what our customers want to achieve and want to have in store. At the same time, obviously, at this moment, there are some hiccups. There are some backs sometimes. Obviously, that's what we're starting with few hundreds of customers, not the all customer base, to improve that solution when it's possible. We got great, great hopes, great threads, great feedback. It looks like definitely that Text App is well received.
Operator: Perfect. Thank you very much. We see no further questions. Perhaps we'll give another 30 seconds for any additional questions to come through. [Operator Instructions] Okay. So it looks like we have indeed no further questions. I'll be passing the line back to Marcin and Lucja for their concluding remarks.
Marcin Droba: So we thank you all for being with us today. Thank you for your time and attention. Be sure that we are open to all questions. We'll be happy to discuss our achievements and answer your questions in the future.  Thank you all.  It's been pleasure to meet with you again and see you in 3 months.
Lucja Kaseja: Thank you very much.
Marcin Droba: Bye.
Operator: Thank you very much. This concludes today's conference call. We'll now be closing all the lines. Thank you, and goodbye.
Marcin Droba: Bye.